Operator: Good day, and thank you for standing by. Welcome to Linamar's Third Quarter 2021 Earnings Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your first speaker today, Linamar's Chief Executive Officer, Linda Hasenfratz. Ma'am, please go ahead.
Linda Hasenfratz: Thanks very much, and good afternoon, everyone, and welcome to our third quarter conference call. Joining me this afternoon are members of my executive team, Jim Jarrell, Dale Schneider, Roger Fulton, Mark Stoddart; as well as members of our Corporate IR, Marketing, Finance and Legal teams. Before I begin, I'll draw your attention to the disclaimer that is currently being broadcast. Okay. I'll start off with a short update on our focus in terms of the COVID-19 crisis. So our focus at the moment is really in three key areas: continuing to keep people safe at work, of course, is top of mind, continuing to encourage vaccination, which are looking very strong at more than 80% of our global population at least partially vaccinated, and easing the transition back to the office. Our global organization is 98% back on-site and has been for some time, given we are a manufacturing organization and most jobs cannot be done remotely. Of our office staff who could work remotely, we have a very small percentage working fully remote and another 17% in hybrid mode, 81% are back on-site, which is great to see. We are trying to be supportive and flexible as everyone's needs are different as we encourage the return to work. We do believe we are better together in terms of team alignment, culture, innovation, talent development and unity, but we also do understand the challenges that even the tail end of the pandemic can bring to working life. Okay. With that, let's jump into some of the specifics about the quarter, starting with sales, earnings and content. Sales for the quarter were $1.65 billion, up slightly from last year. Our industrial segment had very strong quarter with sales at MacDon and Skyjack, both up substantially from prior year, thanks to recovery markets as well as market share growth. The auto sector had a tough quarter, thanks to supply chain issues, notably the shortage in semiconductor chips, which has triggered continued shutdowns for our customers. Global vehicle markets were down 20% over Q3 2020. Exchange rate changes versus last year have also not been in our favor, impacting our top line in the mobility group. Launching sales did help to offset these market conditions as did our content in vehicles being preferentially built in the market, but was not enough to fully recover. Normalized net earnings are down, thanks to declining mobility sales, much lower subsidy levels, significant cost issues being experienced by those segments with regards to supply chain challenges as well as logistics, energy and labor availability challenges and a less favorable exchange rate than we had last year. We saw double-digit growth in every region globally on content per vehicle, which is great to see. Launches are a big part of that as is vehicles that we have high content on being selectively prioritized for billed by our customers. In addition, we're seeing some customers partially build the vehicle, which does include our products, but which is not included in the total vehicles built for the quarter, given they are not complete. This is helping our sales outpace reported vehicle build. Commercial and industrial sales were up 42% in the quarter due to strong growth at both MacDon and Skyjack. MacDon is seeing excellent market share gains in both core products globally, which, coupled with the market up in double digits, is translating to some great sales book. Skyjack is also seen market share growth in targeted products and regions globally and a very strong market growth leading to excellent sales growth there as well. Carefully managing CapEx continues to be a key theme for us in the third quarter. We are down from last year, which if you recall, was a bit of a catch-up quarter after a very minimal Q2 2020. Linamar's utilization of flexible, programmable equipment is the key factor in allowing us flexibility in terms of market softness to continue to tool up new business without requiring significant CapEx. This is a massive advantage that Linamar has in comparison with competitors who may invest in more dedicated equipment, which although is cheaper and often requiring less labor, is not easy to reallocate to new programs. Do expect some uptick for Q4 in CapEx as we plan a little catch-up on CapEx for a full year ahead of last year in total dollars spent but still below our normal range at 6% to 8% of sales. Next year, it will be up from 2021 and in our normal range as a percent of sales. We have continued our track record of generating free cash flow with $224 million generated just this quarter. This marks our 14th consecutive quarter of positive free cash flow, which I think is excellent. We expect to see solidly positive free cash flow for the full year this year as well as 2022. We have $1.8 billion of liquidity available to us, which is also outstanding. Our strong balance sheet and liquidity mean we have the ability to take on takeover work or acquisitions as they arrive in what is an opportunistic market. The solid cash flow has allowed us to further reduce our net debt levels. In fact, we are now in a net positive cash position, meaning we have brought net debt down by nearly $2.2 billion since our peak in early 2018. Our strong cash position and outlook has prompted us to increase our dividend by 25% to CAD0.20 per share as of this quarter. We have also approved a share buyback, which we will begin executing on as soon as paperwork gets completed and the TSX approves it. And of course, our backlog has ended. I thought it would be a good idea to talk a little more in-depth around some of the headwinds that we're facing at the moment around supply chain issues, energy costs, logistics costs and labor shortages. Now certainly, as we have emerged from the low points that we saw economically last year, end-markets have come back, we're feeling the impact of these issues in a variety of areas. Semiconductor chip shortages, spiking logistics and commodity costs and labor challenges are certainly being experienced. The good news is, although, of course, they're difficult to manage, these issues are not new. We've seen them in the past. And like then, most will resolve as additional capacity is put in place, which is underway. Just the latest update around the shortage of semiconductor chips, which has hit the automotive industry quite hard, as you know. Q3 ended up seeing a much more significant impact in Q2, and the latest industry forecast are for an even bigger impact in Q4. And although forecasts show a little impact in 2022 at this point, I personally don't see much improvement until at least the back half of 2022. H1 next year may be somewhat improved, but we aren't seeing additional chip capacity really coming online until H2 2022. Total estimated loss of vehicles built for the year is currently 11.5 million units. You can see how that splits out over the year in the top left quadrant of the slide, with Q4 now expected to be the peak impact. The industry has not been great at forecasting what the lost vehicle build will be quarter-to-quarter. Q3 is a great example of that, with very little impact forecast, and in fact, 3.5 million units lost, and Q4 is a similar picture. Again, I would suggest it's unlikely, Q1 and Q2 of next year are going to see much improvement on the chip side. Our customers are forecasting improvement, and our forecast reflects that with some conservatives have already built-in. But you should know that the situation is fluid, it's unpredictable and therefore, at risk. On the plus side, some of the capacity constraints in the back half of this year have been COVID related chip plant shutdowns in Southeast Asia, which with luck won't repeat in 2022, giving us a little bit more capacity in the first half. In terms of the impact of lost vehicles by region, you can see the impact regionally is relatively balanced between Europe and North America with Asia taking the biggest hit. This makes sense, given Asia is by far the largest market. In terms of OEMs, Ford and GM took the biggest hit as a percent of planned production at around 20%, followed by Volkswagen and Stellantis at around 15% of planned volume loss. And finally, the Asian producers at 10% of planned production loss. I'll note that the impact of chip shortages has certainly been the biggest impact this year, but it is not the only one. We are keeping an eye on other potential risks in the supply chain as well. Commodity prices are continuing to present a challenge as well. You can see here some of the more important commodities to us in the charts displayed. Now we are seeing a little leveling off on some commodity costs and are hopeful that that trend is going to continue. And of course, on the mobility side, the vast majority of contracts do allow for a pass-through on metal market price changes based on a predetermined metal market index. Although I will note there is a bit of a lag effect on that. On the industrial side, however, there is no such mechanism for making adjustments for commodity costs, making those commodity cost changes more challenging. At the same time, we are seeing a lag in the ability of suppliers to meet demand, notably again on the industrial side, which impacts not just cost, but our ability to meet production needs for a rebounding market. It's also disruptive on the productivity side, which is part of what is driving labor cost up. And of course, the cost of shipping has dramatically increased as well, also disrupted is just the delay in receipt of products related to the shortages of containers as well as backlogs in the port to unload ships. We saw a bit of a dial back just last month in some container costs from Asia. It's not clear if that started a normalizing trend or just temporary relief. Clearly, the key issue lies is shipping to Asia, although European freight prices are up as well. Indications are we're going to start to see some relief in sort of February, March of next year when additional container inventory is due to come online. Another input cost that has popped up is that of energy. Natural gas prices in Europe are up nearly fivefold over last year, and prices in the U.S. have doubled. I'm a little worried about this one as it feels like energy cost and availability might just be an ongoing issue. Given the investment in fossil fuel energy has declined by 40% in recent years, and there has not been an offsetting increase in investment in alternative energy, we seem to expect the scene for an ongoing issue with energy. We're trying to get a better understanding of this issue going forward. On the positive side, for us, energy costs are typically only 1% to 2% of sales, so not a massive weighting in our cost structure, but certainly one that we want to keep an eye on. We're, at the same time, actively engaging our plants in energy conservation and off-grid energy projects to reduce our dependence as well as costs. Finally, we're seeing a real shortage in availability of labor at the moment. The issue is twofold, higher than normal turnover in North America, not just at Linamar, that's overall, and just a lack of availability of people. I will say this is more of a North American issue than a global one in our experience. And I'll also say that the issue is particularly bad in the U.S., where the workforce has shrunk by 4.5 million people compared to pre-COVID. That said, labor availability in Canada is definitely an issue as well. This puts pressure on cost, of course, both in terms of wage inflation, but also in terms of higher recruiting and retraining costs. Unfortunately, wage inflation is not something that would be considered transitory. But we are hopeful, as more people come back to the labor market now that subsidies have wrapped up and a more normal cadence is resumed with schools and child care, that the recruiting and retraining costs will taper off. So to summarize on the challenges, higher labor and energy costs likely here to stay, but shipping costs and commodities due to start tapering off back -- tapering back off in the first half of next year, and better supply of chips in the back half of next year. So turning now to our market outlook. Market demand is strong, which is great news. Unfortunately, supply chain issues are constraining industry's ability to deliver that demand. As a result, you'll notice the strong growth in light vehicle volumes predicted last quarter has fallen away. That said, growth is now expected to be stronger for next year. And with strong underlying consumer demand for vehicles, we will be looking at a sustained period of strong performance for some time after these issues get resolved. And our industrial market growth looks particularly strong. Turning to the specific figures. Industry experts are predicting flat light vehicle volumes globally this year at 13 million, 16 and 41.3 million vehicles in North America, Europe and Asia, respectively. That's down substantially from earlier estimates to reflect those lost vehicle build from the supply chain issues. 2022 will see strong growth in North America and Europe to 15.2 and 18.6 million units, respectively, and then growth in Asia as well to 43.9 million units. Industry experts are predicting on high/medium truck volumes to be solidly up in North America and Europe this year, but down in Asia. Next year, we'll see continued moderate growth in North America and Europe, but again, down in Asia. Industry experts project strong double-digit growth in the Access market in North America and Europe this year and next year, coming off a very tough 2020, as construction projects start to ramp back up and consumer confidence builds post pandemic. Asia will see solid growth this year as well, with more modest growth forecast for next year. Backlog is meaningfully up from prior year at nearly 5x the level we were at in Q3 2020. The challenge is meeting the demand with supply chain issues hampering production levels. Lastly, the agricultural industry is predicting solid growth in the combine draper header markets this year in double digits globally, but strongest in North America. We're also seeing solid pickup in the windrowers market this year after a few years of decline, notably in Europe, CIS and North America. The order book is up significantly over the last year, with farmers feeling more confident, thanks to persistently strong commodity prices. Meeting demand is also a challenge for MacDon regarding supply chain and logistics issues and appears to be the limiting factor to growth as opposed to demand. Looking at a little more detail, on the auto side, you can see inventory levels in North America have continued their trend down with average days inventory sitting at only 26 days overall. What this means is, regardless of consumer demand, we're in for a period of sustained, strong production levels just to replenish inventory when supply chain issues are resolved. The industry is predicting at least two years just to refill the pipeline regardless of demand. And looking at production levels compared to what was forecast at our last conference call, you could see we obviously had a much faster Q3 than forecast driving out of those chip issues. And Q4 is also currently forecast to be a lot softer than we thought last quarter. Same story for the full year, now expected to be 7.2 million units less than expected last quarter for the same reason. That means global automotive volumes end up basically flat to last year in 2021. Looking at the Access market in more detail, you can see first that all three markets showed exceptional growth over prior year in the second quarter with double-digit increases across the board. That's the orange bar on the graph. The blue bar is the forecast for the full year, which again is showing double or triple-digit growth across the board. Equipment utilization levels continue to look positive and on average within 3% of utilization levels back in 2019. Our customers are telling us they have a shortage of machines in their depots and fleet utilization rates are up above 80% or even 90%. Market growth and the strong backlog should drive double-digit sales growth for Skyjack this year and next year. In the agricultural business, we're seeing a very optimistic outlook in North America, in particular this year after a soft 2020. Q3 combined retails in North America were 29% up from prior year, with a strong showing in Canada, up 42% and also in the U.S., up 25%. The the estimate is for 20% growth this year in North America. International markets are also predicting double-digit growth across the board. Between 10% and 15% growth is expected. MacDon is continuing to do a fantastic job of building market share in international markets, notably with our draper header products with market share growth in both our combine draper and our windrower products globally over the last 12 months. We're seeing growth in our windrower business globally as the market shifts back to wind rowing from straight cutting in reaction to regulatory changes, notably in Europe. Order intake is strong, supporting double-digit sales growth from MacDon this year as well, and an expectation of continued growth next year. Turning to an update on our growth and outlook, you'll be pleased to know that we had another solid quarter in new business wins. I will highlight a couple of our more strategic wins in a moment. Electrified vehicles continue to provide great opportunities for us. Almost 1/4 of business wins year-to-date were for electrified vehicles, which likewise, make up a substantial share of the book of business currently being pursued. Our percent of our book of wins that are for electrified vehicles has been steadily growing every year, as you might expect, given the expected growth in this market. You can see here, a steady build in our global content per vehicle for battery electric vehicles as a result of those wins. The lines of internal combustion engine and battery electric vehicle global content per vehicle are converging, which, of course, is the goal. Our content per vehicle in electric vehicles is predicted to surpass that of hybrids within a couple of years as we see more and more battery electric vehicle wins. You will have seen in the quarter the announcement of the formation of our eLIN, Product Solutions Group, which is focused on developing electrified products in four key areas: power generation, energy storage, propulsion systems and structural and chassis systems. eLIN is focused on developing new electrified product solutions for all of Linamar's businesses globally, as well as developing strategies and winning new business. eLIN is an important asset to supporting all of our existing groups and plants and will utilize and leverage resources in our existing R&D organizations globally. Our strategy for pursuing electrified vehicles is diverse in many aspects, which allows us to really maximize opportunities for growth. We have a diverse lineup of products in various areas of the vehicle, from the electrified products under the eLIN umbrella that I just described, to non-propulsion systems as well, which is an area we are actively expanding. We are targeting passenger cars as well as commercial vehicles and trucks of every class as well as off road vehicles. We're pursuing battery electric, hybrid and fuel cell electric vehicles. We're targeting traditional and new entrant OEMs, and doing so very successfully. And finally, we're open to a variety of scalable solutions for our customers from individual components to sub-assemblies to full systems. And the strategy is obviously paying off as we continue to win business in all these different areas. Our addressable market across a range of vehicle propulsion types continues to look excellent with the total addressable market for us today, around $80 billion, growing to more than $300 billion in the future, an increase of more than 3x. As you can see, our addressable market potential for electrified vehicles is really growing as we get out into the late '20s, which is really exciting. Our potential content for battery electric, hybrid electric and fuel cell electric vehicles is equivalent to our content potential for internal combustion vehicles at around $3,200 per vehicle. With respect to launches, we're seeing ramping volumes on launching transmission, engine and driveline platforms, which are predicted to reach 35% to 45% of mature levels this year, which should generate incremental sales of $350 million to $450 million. These programs will peak at more than $3.7 billion in sales. We saw a shift of more than $50 million of programs that moved from launch to production last quarter, which was more than offset by strong business wins in the quarter. Next year, we should see growth of 35% to 45% for launches to generate additional incremental sales of $600 million to $700 million. As usual, we're summarizing all of these expectations on our outlook slide now being displayed. Despite the challenges we're facing, we are still expecting to see double-digit growth on the top line and in earnings per share in both 2021 and 2022. This drives from double-digit growth at both Skyjack and MacDon this year, coupled with launches and a now flat market on the mobility side. Next year should see continued growth of all three businesses based again, on growing markets across the board as well as growing market share and the launching business. Net margins will be better than last year in 2021, driving a net margin expansion in the mobility business back into the low end of our normal margin range. Net margins will not quite get back into our normal range of 7% to 9%, thanks to the pressures that we're experiencing. Next year, we'll see a similar level of margin performance as this year, depending on timing of resolution of the supply chain and logistics issues. Both years should also see solidly positive free cash flow, leaving us in a very strong position from a leverage perspective. Looking specifically at Q4, as suggested, you should be prepared for a dial back in sales on the mobility business in comparison to the third quarter of this year, which could be as much as 5% based on increasing chip related vehicle build losses that are being predicted. We could be overly cautious here, but we are concerned by the pattern of underestimation that we have seen. Agriculture and Access businesses will see their normal seasonal slowdowns in Q4, which is typically around a 20% to 25% decline to third quarter levels. That means you should expect a meaningful decline in OE, operating earnings for Q4 in comparison to both Q3 2021 and Q4 of last year based on three key factors: sales declines, as I just described, no subsidies, and potentially escalating supply chain, energy, labor and logistics costs. Net margins in Q4 will be low single-digit as a result. Roger would like me to remind you that the situation is very dynamic and impacts not fully determinable in terms of their impact at this point. I'll highlight a few of our more interesting new business wins this quarter. First, we picked up several programs for commercial vehicle applications in the last quarter. Total revenue is nearly $150 million per year in aggregate. It's great to see the commercial vehicle market picking up again in terms of opportunities after a few light years. Secondly, we picked up a meaningful balance shaft program for one of our Mexican plants. Our success in balance shaft assembly is as much about our gear capabilities as it is our strength in machining and assembling the shaft. Balance shafts play a key role in enabling effective smaller engines to create better fuel efficiency and lower emissions. Third, we're seeing continued success in China, winning business with local Chinese-based OEMs, such as the products that you can see pictured here. And finally, we saw several wins for camshaft, for next-generation fuel-efficient engines to see us through the last phase of the internal combustion engine over the next 15 years. Turning to an innovation review. I would like to highlight a few great technology developments launched this quarter. First, in the quarter, we finalized a new technology partnership, which adds the lithium-ion battery packs to our product portfolio. Another exciting example of our expanding content potential for an EV future. eMatrix Energy Systems is an early stage designer and integrator of custom battery pack solutions to various mobility markets. Linamar signed an agreement with eMatrix to license their proprietary technology and to become their preferred manufacturing partner  The agreement also included a minority equity investment by Linamar. The Linamar eLIN team is already actively promoting the energy storage offering to potential customers with promising feedback. This is another collaboration in our technology outreach strategy that helps early stage companies accelerate their commercialization plans and bring new innovations to market. Their system is flexible, it's modular, it's lower cost, and we're excited about it. At Skyjack, innovation continues to be centered around reliable Access solutions that make working at heights, both safer and easier. The X-Step is a new feature on the conventional Scissor Lifts platform that provides extra height safely, particularly in confined workspaces where the worker can access -- where worker access points are limited. The X-Step is a modular system option on new machines or it can also be sold in the kit to be retrofitted to machines already in the field. It's another example of Skyjack providing simple, reliable solutions to the aerial work platform market that enhance the overall value proposition for our customers. And lastly, MacDon's reputation as a technology leader in the market has been recognized once again. Each year, ASABE, the American Society of Agricultural and Biological Engineers names it AE50 awards for product ranks highest in innovation, engineering advancement and impact on the markets they serve. This time, MacDon had not one, but two of their latest product introductions receive this honor. First, the M1170NT, which is a narrow transport Stage 5 self-propelled windrower with modified axles, which hydraulically adjusts outward for field operation and then inward to navigate tight roadways in Europe where road streets are much narrower than they are in North America. Precision on the road and precision in the field. So it's another great example of how MacDon is providing tailored solutions for farmers and their unique regional needs. Secondly, the FD2 FlexDraper also received the AE50 award. The FlexDraper is MacDon's flagship product. And as we talked about last quarter, the introduction of the FD2 series will prove to be a significant advancement in harvesting technology for farmers. It gives them 20% more capacity, allows 30% higher combine speeds and 70% more ground following flex. This is a ninth time MacDon has received an AE50 award since 2004 and is further proof of MacDon's leadership in agricultural harvesting innovation. Finally, we continue to execute on our global digitization journey with more and more connected machines, data connections and robotics being commissioned in our global plants every day. With that, I'm going to turn it over to our CFO, Dale Schneider, to lead us to a more in-depth financial review. Dale?
Dale Schneider: Thank you, Linda, and good afternoon, everyone. As Linda noted, Q3 was a tough quarter for sales and earnings, with the continuation of the semiconductor supply issues that impacted sales and other costs and supply chain issues further impacting earnings. Despite these challenges, we did see significant increases in industrial for both sales and earnings with continued market recovery at both Skyjack and MacDon in addition to market share gains. It was also a great quarter for cash generation as we generated $223.9 million of free cash flow in the quarter. Additionally, we're able to grow our strong level of liquidity to $1.8 billion. For the quarter, sales were $1.6 billion, up $7.6 million from last year. Earnings are normalized for any FX gains or losses related to the revaluation of the balance sheet and any unusual items that may have occurred in the quarter. In the quarter, earnings were normalized for FX gains related to the revaluation of the balance sheet, which impacted EPS by $0.06 per share. Normalized operating earnings for the quarter were $150.7 million. This compares to $197.4 million in Q3 2020, a decrease of $46.7 million or 23.7%. The normalized net earnings decreased $35.7 million or 25.4% in the quarter to $104.8 million. Fully diluted normalized EPS decreased by $0.55 or 25.6% to $1.60. Included in earnings for the quarter was a foreign exchange gain of $5.5 million, which is fully associated with the revaluation of operating balances. As I mentioned, the net FX impact in the quarter on EPS was $0.06. From a business segment perspective, the Q3 FX gain of $5.5 million was a result of a $2.9 million loss in Industrial and an $8.4 million gain in Mobility. Further, looking at the segments, industrial sales increased by 45.4% or $135.5 million to $433.9 million in the quarter. The sales increase was due to the additional Access sales due to the recovery from COVID-19 in addition to market share gains in certain targeted products and regions around the world. And likewise, strong demand and market share gains also drove the agricultural equipment sales. These were partially offset by a negative impact on sales related to changes in FX rates to last year. Normalized industrial operating earnings for Q3 was increased to $24.2 million or 49.7% over last year to $72.9 million. The primary drivers impacting industrial were the increased contribution from the strong Access and equipment -- sorry, agricultural equipment volumes, which was partially offset by the ongoing shortage and supply chain issues impacting labor, raw material and freight, the negative impact from the changes in FX rates and also the reduced government support programs related to COVID-19. Turning to Mobility, sales decreased by $127.9 million over Q3 last year to $1.2 billion. The sales decrease in the third quarter was driven by the market impact of the semiconductor chip shortage, which is impacting our customers and the impact of the negative exchange rates since last year. These two factors were partially offset by the increasing volumes on launching programs and on other certain mature programs that are in high demand, and an increase in sales related to material pass-throughs to our customers that don't necessarily impact earnings. Q3 normalized operating earnings for Mobility were lower by $70.9 million or 47.7% over last year. In the quarter, Mobility's earnings were impacted by the ongoing semiconductor issues, the reduced government support programs, the negative changes in FX rates last year and the increased costs from other supply chain issues such as energy and logistics, which were partially offset by the increased volumes on launching programs and certain mature programs. Returning to the overall Linamar results, the Company's gross margin was $235.5 million, a decrease of $38 million compared to last year due to the same factors that really drove the quarter for both segments. COGS amortization expense for the third quarter was $107.9 million as a percent of sales, it remained relatively flat at 6.6%. Selling, general and administration costs improved in the quarter to $85 million from $89.8 million last year. The decrease is primarily due to the reduction of AR provisions over 2020, which were partially offset by the reduction of government support programs. Finance expenses increased by $400,000 since last year. This is due to the lower interest earned on declining long-term receivable balances, which was partially offset by the lower interest as a result of the lower debt level since Q3 2020. The consolidated effective interest rate for Q3 was 2%. Effective tax rate for the third quarter decreased to 25.8% compared to last year, mainly due to a more favorable mix of foreign tax rates. As a result, we are expecting the 2021 full year tax rate to still be in the range of 24% to 26% and consistent with last year's full year rate. Linamar's cash position was $806 million on September 30, an increase of $235.9 million compared to September 2020. The third quarter did generate $281.2 million from cash from operating activities, which was used mainly to fund CapEx and debt repayments. This also resulted in free cash flow generation of $223.9 million in the quarter. As a result, net debt-to-EBITDA decreased significantly to effectively zero at the end of the quarter as we've become cash positive from 1.1x a year ago or 0.17x at the end of Q2. Based on our current estimates, we are expecting 2021 net debt-to-EBITDA to continue to improve over 2020 levels. The amount of available credit on our credit facility was $957.5 million at the end of the quarter. Our available liquidity at the end of Q3 remained strong and grew to $1.8 billion. And as a result, we currently believe we have sufficient liquidity to satisfy our financial obligations throughout 2021. To recap sales and earnings for the quarter was a story of supply chain and cost issues. Semiconductor shortages continue to hamper the OEM production requirements, which significantly impacted mobility sales and earnings. Other supply chain, logistics, energy and labor issues also continue to impact both segments. Despite these challenges, industrial sales did grow by over 45% and earnings by by 50%. Linamar did have a great cash generation quarter as we generated $223.9 million of free cash flow in the quarter, while growing our liquidity to $1.8 billion. That concludes my commentary. And now I'd like to open up the call for questions.
Operator: [Operator Instructions] Your first question comes from the line of Mark Neville with Scotia Bank.
Mark Neville: First, a really good job on the quarter. Maybe just starting on the Industrial. Appreciating all the sort of cost pressures, including raw materials, but I guess I'm just curious, just given the strength in demand, are you able to price for some of this?
Linda Hasenfratz: Yes. I mean, demand is, for sure, strong, and there's definitely a different approach from a pricing perspective in the industrial markets than there is in the automotive, for instance. So it's not normal, or it is unnormal for folks in the industry to do some price adjustments on an annual basis. So obviously, we would be looking at that.
Mark Neville: Do you have to -- is it only once a year? Can you sort of do it at, sort of a...
Jim Jarrell: Basically, you could come out during the year. But typically, we set up our annual buys with our customers. So we would change it probably annually. And then we -- you can play on the discount factors as well. The commodity price is really driving a lot of that discussion. So for sure, on the Skyjack and MacDon Industrial side, they can play out the pricing a little bit more liberally than we could on the Mobility side.
Mark Neville: When you're bidding this work in Industrial, do you sort of walk in some of these commodities needs, sort of as you're bidding?
Jim Jarrell: Yes, you'll do a little bit of both, right? It's not a formal hedging program because Dale would not be the if I did that, but we will lock in at a certain level and float others. And we're very much looking at the trend levels of steel in the Industrial side for MacDon and Skyjack because that's a major, major factor in our pricing going forward with our customers, but also on the supply chain side.
Mark Neville: Okay. And maybe just in the Mobility segment. I mean, mostly you've actually expanded margin quarter-over-quarter. I mean, I guess, for a lack of a better word, my question, how did you do that? I mean, it's pretty impressive performance. So just sort of curious to the depiction of dates. Are there more positives quarter-over-quarter?
Linda Hasenfratz: Yes. I mean, certainly, we're experiencing some of the very same supply chain challenges and labor challenges in terms of the Mobility business. But the normalized margin is down from last year.
Mark Neville: Yes, I mean quarter-over-quarter.
Linda Hasenfratz: Oh, you mean compared to the second quarter.
Mark Neville: Yes. I mean, your EBIT was almost flat. I mean, that's -- I haven't seen that much this quarter.
Linda Hasenfratz: Yes. No. Yes, that's true. I mean, for sure, we're seeing higher cost, but we also have launches that are coming in. So that's helping us to offset as well. So I mean, even on the overall picture, we're expecting growth from sales in our Mobility -- or from launches in our Mobility segment, even in a flat market. So those launches go a long way to helping to improve the situation.
Mark Neville: Okay. Maybe one last one, if I could. Just on the EV, the 22%, I think you said was the wins -- percentage of your wins EV, this year. I guess I'm just curious sort of the win rate in EV, how that would compare to your traditional internal combustion business?
Linda Hasenfratz: How -- the wins -- I'm sorry, I don't understand your question. Can you just say that again?
Mark Neville: Yes, the win rate when you're bidding on EV versus, sort of win rate bidding on internal combustion there?
Jim Jarrell: It would be very similar, and it depends on the -- what we're after. But the full system level, I mean, typically, we might even be a higher percentage, but a typical part component would be about the same level of win rate.
Mark Neville: Okay. Thanks for the time and again, good job.
Linda Hasenfratz: Thank you.
Jim Jarrell: Thanks.
Operator: The next question comes from the line of Brian Morrison with TD Securities.
Brian Morrison: I echo Mark's comments. This is very impressive, specifically the cash flow. First question. If I look at the mobility decrements ex the CEWS, it looks like they're about 40% relative to, I think you guide about 20%. And then you do outline the factors in Q3, but is this largely the inability to flex labor with the short production lead times? Or was energy and logistics, were they similar contributors?
Linda Hasenfratz: Are you talking about in comparison to Q2 of this year?
Brian Morrison: No, Linda...
Linda Hasenfratz: Or year-on-year?
Brian Morrison: Yes, year-over-year, please.
Linda Hasenfratz: Yes. So I mean, a couple of things. First of all, costs are higher for sure. Disruptions to production schedules are affecting efficiency. But also our subsidy was way less this year than last year. So that's part of the year-over-year comparison.
Brian Morrison: Yes. No, just ex the subsidies. I get that. I just want to know if you were to rank labor, energy, logistics, was the inefficiencies caused by the inability to flex labor, was that really the major contributor here? Or are the all three similar?
Jim Jarrell: It's a big factor, the labor side. I mean, just to give a very good example of what happened on a routine rhythm, we have releases for next week, 15,000 or something. And on Friday, we'll get a call that we don't need those. We want 2,000. So you can't really divert that labor. You've got to keep them because if you turn the labor overlay them up, they'll go somewhere else. So you really get -- it's almost becoming a fixed cost, not variable on the labor side because -- and so these fluctuations due to semiconductor or container shipments or whatever, those are the cost factors, but the labor is almost a fixed content in North America, I would say, right now.
Dale Schneider: And you have similar issues on the Industrial side, too, in that, as they're trying to run their production as efficiently as possible. They have to schedule it around available parts. So as a result, they're not necessarily running their production lines as efficiently as they would like to, if they have a part shortage from a vendor that forces them to semi complete something.
Brian Morrison: Right. Turning to the 2022 industrial outlook, strong top line, but you did lower the OM outlook from last quarter to slightly below your normal range. I would have thought that there would be a price reset there. And you don't have to go through the inflationary pressures. I get that. But do these price resets or do your -- does your pricing offset them? Or is there actually margin improvement because you have a reduction of subsidies relative to 2021.
Linda Hasenfratz: Yes. I mean, we're trying to be cautious in terms of our expectations around margins because of these continued supply chain issues. So it's not clear how quickly that resolves next year and it's definitely weighing on the Industrial segment more so than Mobility. And although as you've noted, there's some pricing offset to that. I think there's still some pressure there. So we're just being cautious in terms of what to expect on the margin side. And yes, of course, you're not going to see subsidies next year that we get for three quarters of this year.
Brian Morrison: Right. And then I guess the last question, Dale, is on the subsidy. You've obviously done a very impressive job of free cash flow. The balance sheet completely justifies returning capital to shareholders. But we've seen a number of companies be hesitant to do so while they're collecting CEWS. So I'm just wondering why the time is appropriate now. The balance sheet has been very strong for a couple of quarters now. But is it because the benefits will end in Q4? And why was there such a large amount of CEWS this quarter relative to Q1 and Q2? Was there a catch-up that took place there?
Dale Schneider: No. I'll answer that -- the last question first. When we did the earnings announcement in August, at that time, the industry forecasters and our customers were not expecting in Q4, semiconductor issues to be nearly as big, so we didn't expect to qualify for wage subsidy. And as Linda commented, their actual forecast wasn't very good. And as a result, we have a significant drop in revenue, and we're suddenly able to be eligible for wage subsidy in Q3 that we didn't plan for.
Linda Hasenfratz: And in terms of timing, I agree. We didn't want to do a buyback or anything more meaningful on the dividend side while we were taking subsidies, but that is complete as of October. So that is behind us, and therefore, we felt the time was appropriate to move forward.
Brian Morrison: Understood. Well done in a challenging environment.
Linda Hasenfratz: Thank you.
Jim Jarrell: Thanks.
Operator: [Operator Instructions] Your next question comes from the line of Peter Sklar with BMO Capital.
Peter Sklar: I haven't come across the number yet in your detail. What was the amount of government subsidy you received in third quarter?
Dale Schneider: It was around $25 million, $24.8 million.
Linda Hasenfratz: $18.5 million after tax.
Peter Sklar: Okay. And was it in both segments or mostly...
Dale Schneider: Yes.
Linda Hasenfratz: Yes.
Dale Schneider: It's in both.
Linda Hasenfratz: It's in both. But it's obviously going to be more weighted towards Mobility, just given it's a bigger business.
Peter Sklar: Right. Okay. And Linda and Dale, you did touch on this topic, but I just want you to go back is that if you look at your revenues in the Mobility segment versus Q2, I mean, you did much better than what we saw in terms of Industry production. Like Detroit Three production was kind of flattish versus Q3, but you made some good revenue gains. So can you talk again about like why you outperformed the Industry in terms of revenue? Was it -- were there programs ramping or mix or all of the above?
Linda Hasenfratz: It was programs ramping as well as mix, this -- North America is where we saw growth in comparison to the second quarter. It's also a little bit what I was describing when I was talking about content per vehicle, that some of our customers are sort of semi building vehicles. So it's not counting as the vehicle build in the quarter, but they pulled our product into it. So it's a sale for us.
Peter Sklar: Right. Okay. The next thing I wanted to ask about is on the Industrial side of the business, like in your guidance for the fourth quarter, you provided like the normal historical trend. Quarter-over-quarter, expected to be down 20%, 25% because Q4 is the seasonal weak quarter. But I was surprised to hear you say that because I presume that in both Skyjack and MacDon, you have big backlogs that are stretched out beyond six months. So I would think you would just be producing and shipping as much as you can. So why do you see -- why are we seeing the normal -- like I would -- we would not see the normal seasonal decline, except to the extent that I know you have to shut down for Christmas vacation?
Linda Hasenfratz: Yes. I mean, we are shipping as much as we can. It's more of a supply chain issue that is constraining our ability to produce.
Jim Jarrell: Yes. I would just say the same thing, Peter, that we have -- if you take a look at Skyjack, we're probably at an all-time high of last decade of backlog. Our daily take rate is probably 50% more than it was a year ago. Our order book for MacDon for 2022 looks good, but there's also timing to get that supply chain up to snuff on the higher volumes and ship. And so really, it comes back to getting the product from our supply base and timing of our deliveries.
Peter Sklar: But has it really deteriorated that much that you expect shipments to be down 20%, 25% versus Q3? That's a real deterioration in supply chain outlook.
Jim Jarrell: Yes, we're going off our order book really. We're projecting off our order book with supply chain assumptions that we have to-date.
Peter Sklar: Okay. Lastly, just on your balance sheet now with this -- you basically have no net debt now. Just -- can you just elaborate a little bit on your thinking on the NCIB? When you think you'll be able to be in the market? And I forget, to be honest with you, I haven't looked -- I assume it's a 5% authorization. And so do you plan to utilize it all or looking for moments when your stock is weak or you just want to be in the market consistently? What's your thinking around the NCIB?
Linda Hasenfratz: Yes. It usually takes a few weeks to get processed. So it needs to be approved by the TSX, and there's just a whole process you have to go through. So it will take a little bit of time until that all gets done, and we would be able to be in the market. It is our intent to be buying in the market on share price weakness. So that is certainly the intent. And a normal course issue that is normally 10% of the float.
Dale Schneider: Out of the public float, yes.
Linda Hasenfratz: The public float. So that works out to let, obviously, when you take out the -- our block.
Peter Sklar: Right. So the float would be less what's owned by the Hasenfratz family. The rest is the float. Is that correct?
Dale Schneider: Yes.
Linda Hasenfratz: Yes. So it's closer to 6% of the overall, then it's been 10%. And the inside of sales. Good point, Roger.
Peter Sklar: Yes. Okay. And I'm trying to remember, I mean, I could look, but have you bought back shares before in the recent past? I'm just trying to remember?
Dale Schneider: The last program ended March 2019, Am I right?
Linda Hasenfratz: Yes, it was -- that's exactly right.
Dale Schneider: And I can't remember, were you very active? I'd have to go back and look.
Linda Hasenfratz: We were active, yes. We bought, like, gosh, I think, 1 million shares in that. Was it January of 2019 or January 2020?
Dale Schneider: We may -- we might have launched in March '19, yes.
Linda Hasenfratz: Yes. And we were active in January 2020 with the intent of continued activity and then COVID hit and we started hampering down our cash.
Peter Sklar: Right. Okay. Sorry, I just have one last question. So this book that you're building of content for electrified vehicles, can you talk a little bit about what's in that book of business? Like I assume it's what you call, believe you call the electric propulsion system, I believe you call them e-axles. Are you doing battery trays? What other structural parts do you have? Like, what is in that book currently?
Mark Stoddart: Kind of all of the above that you mentioned, Peter. But the bulk of the business is the actual e-axle powertrain. On the passenger car side of things, we're launching the two programs, the one in Europe and the one in Asia. And then we have components that we're launching here in North America for two e-axle systems. But yes, we have one battery tray, and we are manufacturing now, and have one new programs around the light-weighting for electric vehicles. But obviously, you're looking at an e-axle anywhere around $1,200 versus some of the lighweighting casting side of things can be $14, $15 or $20. So the bulk of the business is on the e-axle powertrain side of things. But the battery tray is a good example. And why, as Linda mentioned earlier, that we see our content in battery electric vehicles, the same as in the internal combustion engine because battery trays can be anywhere from sort of $600 to $800 because they are an integral part of the overall structure of the vehicle and developing like the skateboard for the vehicle.
Peter Sklar: Yes. And like on the battery, trade, like how does Linamar position itself, say, versus someone like Magna, but that's kind of a natural part for its Cosma division because it's always done structures. And you probably noticed that Magna just one, announced that program on the GM battery electric pickup truck. So how do customers look at Linamar's capabilities, say, versus a traditional structural stamping company like the Cosma division of Magna?
Jim Jarrell: It depends on the technology that's being deployed on the battery tray or the rolling chassis, right? So when we go in, they're looking at how we will do high-pressure die casting, how we will do extrusion or purchase extrusion, a lot of machining on that extrusion will take place on the battery tray on a cold plate, a lot of machining takes place. So it really depends on the technology that the customer is deploying on that. So I mean, obviously, that the structural stand part, Cosma would be a natural high performance stamp part that would eliminate maybe extrusions. That would be a natural fit for their technology. So I think it's just what technology customers are going to use. And we would look -- they look at us like an assembler, a casting company that could do it in low pressure, high-pressure or gravity, and then putting the assembly and machining together.
Mark Stoddart: So keep in mind, Peter, our focus with our high-pressure die casting here in North America, large tonnage machines up to 4,400 tonnes. So a lot of the large components are part of the battery tray, we have that capacity in-house to be able to cast those.
Jim Jarrell: And those also, just to Mark's point, that you do on a battery tray, but you can do a cross car beats, you can do a pillar, you can do extension back. I mean there is a lot of different technology. Just again, depends how the OEM is coming out. Some won't do it in aluminum, some will, some might do it in magnesium. So it just depends on their engineering technology.
Peter Sklar: Right. And this high tonnage die casting capability you have, this is through the George Fisher joint venture, correct?
Jim Jarrell: Correct. That's correct. But we're Tier 1 on the battery tray at Linamar.
Operator: The next question comes from the line of Krista Friesen from CIBC.
Krista Friesen: Congrats on a great quarter. I was wondering on the Industrial side on the operating margin expectations for 2022, now that it's below the normal range. And I can appreciate that is due to the supply chain issues and commodity prices. But what are your assumptions looking out into 2022? Are you assuming that commodity prices hold at these levels? And I guess, on the supply chain side, like freight costs, are you assuming that improves slightly in the back half of 2022?
Linda Hasenfratz: Yes. I mean, we're assuming that the supply chain challenges are continuing into next year. A little bit as I described. I mean some of the commodity prices we're seeing flattening off. Others are still increasing. Container cost is -- container is supposed to come online in the first quarter as costs come down. But I'd wait to see that happen. So we're trying to be realistic in terms of the impact of those costs. But obviously, quicker resolution may allow us to make more improvements and get a little closer into our normal range. We're not going to be terribly far off it, but we will be a bit below our normal range.
Krista Friesen: Okay. Perfect. And then also on the Industrial side, are you hearing any issues or concerns from your customers just on the deer strike? Is that kind of impacting any demand forecast?
Jim Jarrell: Not at this point. We haven't had any issues with that at this point.
Krista Friesen: Okay. Great. And then maybe just lastly on the Mobility division. Obviously, CPV was great this quarter, and you walked through those reasons. Why -- could we also expect CPV to be that strong in Q4?
Linda Hasenfratz: Well, it does depend a little -- I mean, as I was describing, part of our bumps from content came first because vehicles that we have more content in are being sort of selectively built. But secondly, because some of our content is going into partially built vehicles, which if they complete being built in the fourth quarter, we're not getting a corresponding sales amount from that. So a little bit -- it depends on what our customer -- how our customers are going to approach the fourth quarter. But I mean, we do have the underlying launches going on, which is also a big part of growing our content.
Operator: There are no further questions on queue. I will now turn the call back over to our CEO, Linda Hasenfratz, for any closing remarks. Please go ahead.
Linda Hasenfratz: Thanks so much. Well, to conclude this evening, I'd like to leave you with three key messages. First, yes, it's messy out there, but Linamar is actually pretty good with messy. Despite challenges, we expect to deliver double-digit growth, top and bottom line, this year and next year. Secondly, we're leveraging our very strong balance sheet and excellent free cash flow and cash management capabilities to return cash to our shareholders in the form of both an increased dividend and a buyback. And finally, it's great to see continued strong market share growth right across the board with content per vehicle growth in every region and continued market share growth in key products and regions on the Industrial side, in both businesses. Thanks so much, and have a great evening.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.